Operator: Good morning, ladies and gentlemen. Welcome to our Second Quarter 2025 Results Conference Call of ProSiebenSat.1 Media SE. Today's conference is being recorded. Today's call is hosted by Mr. Dirk Voigtlander. Please go ahead, sir.
Dirk Voigtlander: Good morning, everyone, and thank you for participating in ProSiebenSat.1's Investor and Analyst conference call covering our second quarter and first half results for 2025. Today, the call will be hosted by Bert Habets, our CEO, together with Martin Mildner, our CFO. Bert and Martin will begin by reviewing our financial and operational performance over the reporting period. Bert will then close the presentation with remarks on our specified outlook for the current financial year. After the presentation, we will be happy to take your questions during the Q&A session. With that, I'll now pass the floor to Bert.
Hubertus Habets: Thank you, Dirk. Thank you for joining us today for our ProSiebenSat.1 Media SE half year results conference call. Before we turn to our financial and operational performance for the second quarter and the first half of the year, I would like to begin by briefly addressing the increased voluntary takeover offer that was published by MFE earlier this week. We believe this enhanced offer clearly reflects MFE's sustained commitment as a long-term investor and their trust in the future of ProSiebenSat.1. As a management team, we are carefully reviewing the details of the revised offers, as well as the potential avenues for value creation mentioned by MFE. We continue to strongly support collaboration within the media industry and believe that partnerships such as the ongoing cooperation with MFE are important to driving growth and strengthening the sector overall. We look forward to ongoing constructive dialogue and joint discussions for the benefit of all stakeholders. Please also note that we will publish our recent statement next week, in which we will also provide a detailed assessment of the increased offer consideration. Let me now turn to the key highlights of our business in the second quarter and the first half of 2025. The macroeconomic environment has shown little to no recovery so far this year. This continues to weigh heavily on the overall advertising market, particularly the TV advertising segment. On an organic like-for-like basis, meaning adjusted for portfolio changes and currency effects, group revenues declined by 2% to EUR 1.695 billion in the first half of this year. This is a solid outcome given the overall weak TV ad market development. At group level, adjusted EBITDA came in at EUR 99 million in the first half of 2025, a 40% decline year-on-year. This was largely driven by the expected drop in high-margin advertising revenues and the deconsolidation of Verivox following its sale in Q1 2025. Despite these challenges, we made operational and strategic progress, especially in our core Business Entertainment segment. In Q2, Joyn AVoD revenues grew substantially by 62% year-over-year. With our clear focus on local and live content, we also recorded a positive trend in audience market shares. Joyn celebrated another successful quarter with strong growth in both users and viewing time. Furthermore, we are consistently working to position the group cost efficiently and ensure its long-term financial stability. We have just taken a significant step in this direction by extending EUR 1.25 billion of our senior facility agreement, which would have matured in 2027 until 2029 at attractive terms. Martin will go into more details later. Revenues and adjusted EBITDA developed as expected, below prior year levels. However, we anticipate a recovery in the advertising business in the second half of the year. We, therefore, confirm our target ranges for full year revenues and adjusted EBITDA. However, adjusted EBITDA is expected to come in below the midpoint of the range due to development in the high-margin TV advertising business. Let me now hand over to Martin for further details on the financials.
Martin Mildner: Thank you, Bert, and a warm welcome also from my side. As Bert already mentioned, the demanding economic environment and the effects resulting from our strategic portfolio adjustments, in particular, the sale of Verivox, impacted our results for the second quarter and first half of 2025. Group revenues in the second quarter of 2025 amounted to EUR 840 million, representing a 7% decline compared to the same quarter last year. For the first half of the year, revenues declined by 4%, leading to a total of EUR 1.695 billion. As anticipated, the decline in group revenues in Q2 was driven by lower TV advertising revenues and weaker performance in the Dating & Video segment. In contrast, the Commerce & Ventures segment continued to deliver strong organic growth. Adjusted for currency effects and portfolio changes, group revenues declined by 3% in the second quarter and by 2% in the first half of 2025. Adjusted EBITDA declined by 40% in both the second quarter and the first half of this year, leading to a total of EUR 55 million and EUR 99 million, respectively. The decline is mostly due to lower highly profitable TV advertising revenues and the sale of Verivox in Q1 2025. Adjusted net income decreased to EUR 14 million in Q2 and to EUR 0 million in the first half of the year due to revenue and adjusted EBITDA development. Here, the decline in operating profit was partially offset by positive tax income of EUR 19 million and EUR 22 million, respectively. Adjusted operating free cash flow was minus EUR 6 million in the second quarter of '25. In addition to the decline in earnings, higher investments in programming assets had an impact as well. Against this backdrop, adjusted operating free cash flow also declined in the first half of 2025 and amounted to minus EUR 50 million. This all said, the current economic environment remains difficult, and we are responding to this uncertainty by focusing on consistent cost management as well as further improving our operating business. At the same time, we are also confident that we will quickly and directly benefit from a potential economic recovery in the second half of the year. So let me now guide you through our individual segments by starting with the Entertainment segment. In our Entertainment segment, revenues were down by 7% to EUR 570 million in the second quarter and by 4% to EUR 1.113 billion in the first 6 months. Entertainment advertising DACH revenues declined by 10% in Q2 2025. This decline was mainly due to the weak performance of the TV advertising business. Although some early indicators suggested that the economy might be stabilizing, many of our advertising customers still remained cautious about the advertising spending. Despite the aforementioned challenges, digital and smart advertising revenues in the DACH region increased by 2% in Q2 2025. This was mainly due to the dynamic growth of Joyn's AVoD revenues, which increased by 62% and which again offset declines in other digital activities. Our distribution business performed well again, achieving strong revenue growth of 10% in the second quarter and 8% in the first half of 2025. This growth was mostly linked to new cooperation agreements and in particular, a further increase in the number of HD subscribers. Our content business declined by 13% in the second quarter due to lower production volumes. For the first 6 months, however, the business grew by 4% to EUR 69 million. In our other revenue stream, we recorded revenue growth of 14% in both the second quarter and the first 6 months of the year. This growth was also driven by our superstreamer Joyn, which achieved double-digit percentage revenue growth in the SVoD business. Adjusted EBITDA in the Entertainment segment decreased by 42% to EUR 41 million in Q2 and by 44% to EUR 65 million in H1 2025. This decline reflects the drop in high-margin advertising revenues. So please now turn to Page 8, where we will now review the performance of our Commerce & Ventures segment. Revenues in the Commerce & Ventures segment remained stable in Q2 2025 despite the deconsolidation of Verivox at the end of the first quarter. In the first half of 2025, we recorded revenue growth of 6%. Adjusted for portfolio and currency effects, the segment grew by an impressive 23% in Q2 2025 and by 16% in the first half of the year. These figures highlight the strength of our organic growth in the Commerce & Ventures segment. We are also pleased to report that our advertising revenues within this segment recovered in Q2 2025, growing by 2% and partially offsetting the decline in Q1. Within the Digital Platform and Commerce business, the Beauty & Lifestyle vertical with Flaconi remained the main revenue growth driver. The decline in the Consumer Advice vertical reflects the deconsolidation of Verivox at the end of the first quarter. The online comparison portal still contributed revenues of EUR 35 million in Q2 of the previous year. The adjusted EBITDA of the Commerce & Ventures segment declined by 32% in Q2 2025 and by 17% in H1 2025. However, on a like-for-like basis, means adjusted for the portfolio effect from the sale of Verivox, the adjusted EBITDA increased by 89% in Q2 and by 14% in H1 2025. Please turn to Page #9 to take a look at the performance of our Dating & Video business in Q2 and H1. As the figures show, we again faced challenges during the reporting period. In Q2 2025, revenues of dating and Video declined by 27%, leading to a decline of 24% in the first half of the year. These figures reflect a combination of different factors, including softer trends in the dating and video sectors, as well as currency headwinds resulting from a weaker U.S. dollar. Adjusted for currency and portfolio changes, revenues decreased by 24% in both Q2 and H1. Let's look at the performance of each business. Dating revenues decreased by 20% in Q2. This was mainly driven by negative consumer sentiment impacting the overall dating market. Eharmony experienced particular pressure after strong growth in the past, while LOVOO demonstrated more resilience, remaining largely stable in absolute terms. Video revenues declined by 35% in Q2. This reflects the business continued sensitivity to economic developments, particularly in the U.S. The declining U.S. advertising market impacted by tariffs and consumer restraints affecting virtual goods revenues were only partially offset by slightly growing subscription revenues driven by our platform migrations in the first half of 2025. Adjusted EBITDA amounted to EUR 13 million in Q2 2025, which shows stabilization compared to last year. This is largely due to the decisive actions we took to improve profitability. The revised marketing strategy within dating introduced at the end of Q1, as well as personnel measures that took effect in late May 2025 showed effectiveness and stabilized the group profitability, resulting in an adjusted EBITDA margin on prior year level. Let me now move on the measures we have taken with regard to our Joyn platform. In order to further advance ProSiebenSat.1's digital transformation and leverage synergies with our traditional TV business more effectively, we have decided to streamline the group's structure. In July 2025, the Executive Board and the Supervisory Board resolved to merge the Seven.One Entertainment Group GmbH into the Joyn GmbH. This merger will become effective retroactively as of 1st of January 2025. Moreover, this merger not only streamlines the corporate structure to accommodate the integration of linear TV into the streaming business, but it also provides a tax advantage. As a result of the merger, Joyn's income tax loss carryforwards can now be offset against the profits of Seven.One Entertainment and its tax group subsidiaries arising after the 31st of December 2024. Joyn will be able to use existing tax loss carryforwards in the amount of approximately EUR 460 million. The utilization of these loss carryforwards is expected to result in the recognition of a deferred tax income in the amount of EUR 125 million for the first time in the third quarter of 2025, which under consideration of counterbalancing effects will benefit our net income by a mid to high double-digit million euro amount. Corresponding tax cash savings are expected with a low single-digit million euro amount already in this year, a low double-digit million euro amount in each of 2026 and 2027 and a mid-double-digit euro amount in each of 2028 and 2029. As a result, we expect positive effects on our cash flows totaling EUR 110 million for the financial years until 2029. So while all this indicates a potentially substantial positive development, we would like to point out in particular that the utilization of these tax loss carryforwards in the amount stated before depends clearly on the achievement of corresponding profits. In addition, the assumed cash tax savings might also be at risk in case of a change of control event in the ownership structure of ProSiebenSat.1 of more than 50%. I will now continue with our debt maturity profile and the financial leverage development on Page #11. ProSiebenSat.1 Group uses various debt financing instruments for the purpose of its group financing, which are regularly adjusted with respect to volumes and maturities. Currently, the group is financed via 2 term loans and an undrawn revolving credit facility under a syndicated facility agreement and on top on various promissory loans. I am pleased to announce that we just recently, at the beginning of this week, we were successful on the extension of our senior credit facility agreement, including the revolving credit facility, which were both originally maturing in 2027. This extension will take effect on the 5th of September 2025, but provided that no change of control event has occurred by that date. If a change of control event happens before the 5th of September, the extension will not come into effect and the senior facility agreement and the maturities there under will remain unchanged. But of course, the change of control event still would trigger an extraordinary termination right of each creditor. The extension of the agreement will now result in term loans of EUR 810 million and a revolving credit facility of EUR 442 million being extended to the year 2029. Please note that the RCF is available in the amount of EUR 500 million until 2027. Beyond that, it is available until 2029 in the amount of EUR 442 million. Please also note that we will repay EUR 250 million of the term loans maturing in 2027 using proceeds from the most recent portfolio measures. This means that only a minor part of term loans and RCF under the SFA will remain due in 2026 and 2027. With these measures, ProSiebenSat.1 is taking advantage of conditions in the loan market to secure financing on attractive terms for the long term. Moreover, it is worth highlighting that the term debt-related interest expenses are expected to remain largely unchanged, both due to the prepayment and attractive conditions for the term debt. Moving on to our current net financial debt. This amounted to EUR 1.541 billion at the end of the second quarter and representing a reduction of EUR 54 million compared to the end of Q2 last year. This development reflects the cash inflow from the sale of Verivox, along with reduced operating cash flow due to seasonally higher programming CapEx. The financial leverage ratio was at 3.1x at the end of the second quarter. As expected, this was slightly above the target range of 2.5x to 3x forecast for the end of '25. Excluding Verivox adjusted EBITDA contribution for the last 12 months, the pro forma leverage ratio would amount to 3.3x. As we will generate all of this year's free cash flow in the second half of the year and also expect to receive the proceeds from the sale of our shares in [indiscernible] and Urban Sports Club in the second half of the year, we anticipate a further reduction in net debt and financial leverage by the end of the year. With this, I would like to end my part of the presentation and hand back to Bert, who will provide you with an update on the advertising market and our operational performance.
Hubertus Habets: Thank you, Martin. Let's start with a look at the macroeconomic environment. The development of DACH advertising revenues in the first half of the year clearly reflects the ongoing challenging macroeconomic environment in Germany. As shown on Page 13, real GDP growth in Germany was negative in 2024. And also, in the first half of 2025, it showed no improvement. This indicates that the German economy has not yet returned to a growth path. Private consumption followed a similar trend in 2024. However, easing inflation has helped stabilize household spending somewhat, leading to signs of a recovery in the first half of 2025. Looking at business expectations, we saw a continuous decline starting in mid-2024 with a notable temporary low point reach in January this year. However, for the second half of the year, economic researchers are forecasting real GDP growth for the first time in a while. This is also reflected in the improvement in corporate sentiment since January despite ongoing uncertainty around U.S. import tariffs. Nevertheless, we are cautiously optimistic. We expect a gradual recovery in the advertising market, driven by continued growth in private consumption and anticipated investment incentives from the German government. Importantly, the advertising business is expected to also benefit from a more favorable year-over-year comparison base. This will be especially relevant in the fourth quarter, where in Q4 2024, we had recorded a sharp decline of EUR 65 million in entertainment DACH advertising revenues. Given the weak performance of DACH advertising revenues in the first half of 2025, a full year increase now appears less likely, even though we continue to anticipate a market recovery in the second half of the year. In the outlook for 2025, we expect a slightly declining development for the full year compared to the previous year regarding the entertainment advertising revenues in the DACH region. Previously, we had assumed growth of 2% at the midpoint of our financial target ranges for 2025. This would have meant a recovery of around half of the previous year's declines. Having said this, leading media agencies are forecasting a significant improvement in the second half of this year. This pickup should lead to an almost stable full year development for broadcasters combined TV and long-form video advertising revenues. This includes addressable TV, broadcaster video-on-demand, such as Joyn and other digital extensions. Traditional linear TV advertising is expected to decline by a mid-single-digit percentage. However, this should be largely offset by continued growth in digital advertising revenues at the market level. Overall, we hear consistent signals from media agencies, top-down analysis and direct feedback from our clients. Sentiment is improving and investment levels are expected to rise again, especially towards the end of the year. Importantly, the full year performance in 2025 will be more dependent than usual on the fourth quarter, which historically contributed around 1/3 of total annual advertising revenues. While we remain confident in a gradual recovery of the advertising market in the second half of the year, we are not relying solely on macroeconomic improvements. Instead, we have actively launched several initiatives to unlock new advertising revenue growth potential and to drive growth across all segments and industries. This goes from global brands to mid-market advertisers. For instance, we offer many creative impact solutions. A hidden casting of Red Bull within the storyline of Germany's next Top model and new branded content formats have generated strong interest among advertisers. It is significantly extending both platform reach and brand engagement. Our advanced TV offerings, including audience TV and addressable TV are strengthening awareness, and they help brands to reenter the TV space by offering more targeted reach, improved measurability and stronger sales impact. Another example is our use of AI-powered innovations. We recently launched the first fully AI-generated TV commercial for Lacalut in Germany. This allows for highly cost-efficient regional activation on both TV and digital platforms. And it's also tapping into budget traditionally allocated to radio or out-of-home. All of these initiatives are expanding our revenue base beyond traditional budgets. They are a key element of our strategy to strengthen advertising performance through innovation. Another part of our broader strategy to drive innovation and scale in advertising is our partnership with Freewheel. Freewheel is one of Europe's leading ad tech platforms and a subsidiary of Comcast. Our collaboration is an important milestone in our strategy to grow through partnerships and expand our advertising capabilities. The partnership with Freewheel enables pan-European cross-platform and convergent campaigns on the big screen. This will offer advertisers and agencies new ways to reach audiences at scale. At the core of this partnership is our media manager, developed by our subsidiary, Virtual Minds. It allows for programmatic TV bookings and will now be available to Freewheel's international client base. This means we can start monetizing the product beyond our home markets and help establish convergent solutions across Europe. Importantly, our commercial partnership for RTL remains unchanged, especially in the German-speaking region, we continue to work with RTL on developing the planned and important convergent functionalities. Together, these partnerships strengthen our position, as a driver of innovation in the European advertising market. Let's now turn to the audience share development on Page #17. Over the past quarters, we've made significant progress in closing the audience share gap to RTL's Ad Alliance. It was a challenging start into the year, which was marked by global events and early elections in Germany. After that, in Q2, our channel portfolio showed a solid recovery. Our strategic program investments have clearly started to pay off. This was particularly visible in the first half of 2025. The strong sports signup in Q2, including ice hockey and soccer broadcast generated above-average reach and significantly strengthened our prime access. Especially compared to Q2 2024, we can see a strong improvement in our audience shares. We have visibly closed the gap to Ad Alliance. Looking ahead, we will continue to expand our investments in local programming with a clear goal of further strengthening our reach and market position in all key time slots across our channel portfolio. Our local content strategy continues to deliver strong results on linear TV and on Joyn. In Q2, we saw significant growth across all our major channels, ProSieben, Sat.1 and Kabel Eins. The audience market share on all channels increased year-over-year. At the same time, Joyn recorded the best quarter in its history. Compared to Q2 last year, Joyn achieved a 31% increase in monthly users and a 29% increase in watch time. This success is driven by a mix of proven hits and new formats that resonate across platforms. One of our most successful existing formats is still Germany's Next Topmodel. The 20th season delivered 90 million views on Joyn in Q2 alone, and it continues to perform well on linear TV as well with a peak performance of over 23% audience share. We also extend and develop existing formats. One example is the extension of the [indiscernible], which now also airs on Saturdays and Sundays. That strengthens our daily engagement. Our formats with focus on Joyn include many reality shows and creator formats. One highlight in Q2 was MATCH MY EX, which reached 10.7 million views on Joyn. That demonstrates the growing relevance of our Joyn-focused formats. These examples underline the success of our platform independent program strategy, and they confirm that our investments in live and local content are paying off in linear TV, as well as on Joyn. Another key pillar of our content strategy is sports. In Q2, our sports portfolio delivered outstanding results across both linear and digital platforms. With the Bundesliga relegation matches, SAT.1 achieved an average market share of 13.7% amongst 20 to 59-year-olds, more than double than the year-to-date average. On Joyn, these matches generated almost 13 million video views. The FIFA Club World Cup also performed strongly with a 14.1% average market share on SAT.1. Our coverage of below 21 European Championship was another highlight. It reached an average market share of 13.7% at SAT.1. The final between Germany and England peaked at a very impressive 42.9% share that gave SAT.1 its best day since 2012. Ice hockey is also gaining traction. ProSieben coverage of the World Championship games involving the German national team reached good market shares. Joyn nearly doubled its live stream video views for the German games compared to last year. These results show that our sports rights are not only delivering reach and engagement today, they are also a strategic investment into our future. Looking ahead, we're excited to kick off the new Bundesliga season. We will show the opening match between Bayern Munich and RB Leipzig on August 22, live on SAT. 1 and Joyn, and we're building for the long term. We've secured exclusive rights for the Handball World Championship through 2031 and the Basketball World and European Championships starting in 2026. With this growing portfolio, we're positioning ProSiebenSat.1 as a leading free-to-air sports destination in Germany across TV and streaming. Let's take a look at what's ahead in the second half of 2025 on Page #20. We have a strong pipeline of new and returning content across platforms and channels. This gives us confidence for continued audience growth and engagement. Our strategy remains clear, everything on Joyn. Every program we commission is a Joyn program. This integrated approach continues to deliver the results. Joyn has more than doubled its number of users compared to last year and achieved 6 consecutive record months. In prime Time, a lot of beloved formats return with new seasons like Bitte melde dic show, the Voice of Germany and Promi Big Brother. And of course, we will also launch new content in the second half of the year, like 50 episodes of the Power, a new reality on Joyn and fresh factual entertainment on Kabel Eins like [indiscernible]. In Access Time, SAT.1 continues to build on viewer loyalty with daily formats like [indiscernible]. The later will run for a full year in 2026 with 240 new episodes. The response from media and industry observers to our recent content screening was overwhelmingly positive. Journalists praised the strength of our programming slate and the strategic clarity of our Everything on Joyn approach. With this lineup, we're well positioned to continue our growth trajectory and deliver strong results. And while our local content continues to drive strong engagements across all platforms, we're also investing in premium international content to complete our lineup. That brings me to our next highlight, our newly expanded content partnership with NBCUniversal. This deal significantly strengthens our offering of high-quality Hollywood content across both linear and digital. This new multiyear agreement secures nearly 2,000 hours of premium content. It ranges from current theatrical blockbusters like Jurassic World Rebirth, Despicable Me # 4 and Wicked to new series like St. Denis Medical and The Hunting Party as well as a broad library of iconic titles like Fast & Furious #9, The Bourne Franchise and Brooklyn Nine-Nine. What makes this deal especially valuable is the comprehensive set of rights we've secured, Free TV, AVoD and SVoD. This allows us to fully leverage the content across all platforms. It's a perfect fit for our Everything on Joyn strategy. We can now offer Hollywood quality entertainment on demand and for free to a broader audience than ever before. This deal strengthens our position as a leading entertainment provider in Germany, and it reinforces our ability to deliver both reach and relevance across linear and digital. Joyn continues its strong trajectory and has just delivered its best quarter ever. In Q2, the platform reached 9.2 million monthly video users. That is an increase of 31% year-over-year. It also generated 12.6 billion minutes of view time, a 29% increase compared to last year. And very importantly, AVOD revenues grew by 62%, underlying the platform's growing monetization potential. This momentum is driven by 2 key factors: First, stronger engagement. Joyn is attracting more new users. And at the same time, existing users are spending significantly more time on the platform. And secondly, a steadily expanding content portfolio, especially in entertainment and sports. This reinforces Joyn's role, as the leading free streaming platform in the German-speaking region. We are also strengthening Joyn's position as a central aggregator for diverse and local relevant content. A recent example is our partnership with the Bavarian Media Authority, which brings 14 regional TV channels to Joyn. This supports media diversity and adds value for audiences across the country. Let's now turn to distribution, an essential pillar of our entertainment business. Our HD subscriber base continues to grow steadily. This contributes to another quarter of increased distribution revenues. With 38% HD penetration, many households already receive our channels in high-definition quality. Since HD subscribers also reflect the overall development of IPTV and cable subscriptions, this can be interpreted as continued high interest in TV offerings despite the decline in daily usage in the past. But there is still considerable growth potential for HD, particularly amongst satellite and households. Distribution plays a key role in financing our content investment, and it remains a highly visible and profitable business for us. That's why it is important to us to continuously work on our existing partnerships as well as on new ones. Let's now turn to our Commerce & Ventures segment with Flaconi, which continues to be one of our strongest growth pillars. Following a strong Q1, Flaconi delivered another excellent quarter. They achieved an impressive 33% revenue growth year-on-year in Q2. This growth is driven by both a rising share of returning customers, as well as a steady inflow of new customers. What's particularly encouraging is that the majority of new customers remain loyal to the platform and continue to shop over time. This cohort-based growth model is fueling Flaconi's sustained and scalable performance. Besides the solid growth in Germany, we also saw strong international momentum. Flaconi launched in 5 new European markets at the end of Q2. It is now also available in Sweden, Finland, Denmark, Czech Republic and Italy. In total, Flaconi is now available in 12 countries. Profitability also improved, supported by marketing efficiencies and operational optimization. Flaconi's performance underlines the strength of our digital commerce portfolio and its ability to scale profitably across markets. Let's now turn to our Dating & Video segment and the transformation underway at ParshipMeet Group. ParshipMeet Group operates across 3 continents with 9 consumer brands, and it is influenced by a wide range of external factors. That includes macroeconomic conditions, legal frameworks and evolving user behavior. In both Germany and the U.S., we are seeing intensified competition and shifting user expectations. Examples are lower commitment and more superficial interactions. In response, the ParshipMeet Group is focusing on strengthening operational performance and stabilizing revenues. This includes realigning the organization, consolidating the technology stack behind several apps onto a shared tech platform and making better use of existing resources. Since joining as CEO in March, Matthew Gain has led the company through a focused and disciplined first 100 days. The initial priority was clear: stabilize the business and improve cost efficiency. Key actions including a full organizational reset, introducing a new structure to drive accountability and implementing cost measures, particularly in marketing and personnel. At the same time, ParshipMeet Group introduced a revised group vision to the organization and initiated a more focused strategic direction and they put new mechanisms for more data-driven decision-making in place. Importantly, Matthew also prioritized reconnecting with teams across all locations and launched new engagement formats. With this foundation in place, the focus is now shifting towards unlocking new growth potential. ParshipMeet has redefined its target audience. They now place a sharper focus on the underserved but highly lucrative 40-plus demographic. This means shifting attention to a segment with higher monetization potential and less competitive space. Building on this clear target audience, ParshipMeet also redefined its marketing approach. This includes a reduction in inefficient advertising as well as the evolution to a new attribution model that better reflects actual user journeys. As a result, we have already seen substantial improvements in marketing efficiency in 2025. On the product side, ParshipMeet Group is running tests to place customer success more directly at the heart of the product experience. These tests include subscription models, pricing and enhanced trust and safety measures. With a clear transformation road map, a sharpened strategic focus and a new leadership team in place, we are confident that ParshipMeat is well positioned to unlock its full potential, both for the users and for shareholders. Let's now close with the outlook for the full year 2025. Despite the challenging macroeconomic environment in the DACH region and continued volatility in the advertising market, we are confirming our financial target ranges for 2025. We expect a moderate recovery in the high-margin entertainment advertising business in the DACH region in the second half of 2025, following a weaker first half. This assumption is supported by forecasts from leading economic institutes, which anticipate a return to growth for the German economy in the second half. Our outlook also takes into account savings from recently implemented cost measures, planned program cost increases and revenues and earnings effects from the sale of Verivox. For the financial year 2025, we continue to target group revenues of around EUR 3.85 billion with a variance of plus/minus EUR 150 million. For entertainment advertising revenues in the DACH region, we expect a slightly declining development year-on-year. At the same time, we are anticipating continued organic growth momentum in the Commerce & Ventures segment. For the adjusted EBITDA in the year 2025, we forecasted EUR 520 million until now with a variance of plus/minus EUR 50 million. As previously mentioned, we are now specifying our guidance to a figure below the midpoint of the range. Adjusted net income will reflect the development of adjusted EBITDA, but will also be positively influenced by deferred tax income resulting from the merger of Seven.One Entertainment Group GmbH into Joyn GmbH. We continue to target leverage ratio between 2.5x and 3.0x by year-end. This reflects both the adjusted EBITDA from the sale of Verivox and the expected reduction in net debt by the end of the year. In the medium term, the group aims to reduce its leverage ratio to between 1.5x and 2.5x. We remain focused on creating long-term value for all stakeholders through strategic investments, disciplined financial management and competitive cost structures. Recent cost measures are already contributing positively to profitability and are fully reflected in our full year guidance. Ladies and gentlemen, to sum it up, we are navigating in a complex environment with discipline and focus. We are seeing strong momentum in key areas of our business like our audience shares and our digital reach. We are executing on our strategy, investing in local and live content, expanding our reach and driving innovation across all platforms. We are confident that with a recovering ad market in the second half of the year, we are well on track to deliver on our financial targets for 2025. Thank you for your attention, and we are now looking forward to your questions.
Operator: We will take our first question from Annick Maas from Bernstein.
Annick Tonie Maas: Good morning. Can you hear me? Hello?
Dirk Voigtlander: Yes, we can hear you. Annick, are you still there?
Annick Tonie Maas: Sorry, now you can hear me again. Okay. Sorry. So my first question, sorry, on the advertising market, you expect a recovery in the second half, but I guess you have already a pretty good view on Q3. Can you make some comments around that? My second question is on Flaconi, which seems to be doing well. So how are we thinking about monetizing this asset? Then one on dating. I do see all the changes that you've done on the strategy, cost control and so on. When can we see more meaningful -- what is the internal target for more meaningful changes on the financials for dating? And then sorry, I have just the last one. Like what has been the feedback you've received from your clients on the back of the RTL and Sky announcement?
Hubertus Habets: Yes. Thank you, Annick, for your questions. Maybe I start with your requested guidance for the ad market. As you can see in the numbers, I think for the first 2 quarters, quarter 1 was with DACH, total advertising revenues in the DACH region was minus 7% and the second quarter was at minus 10%. For the third quarter, we expect the total advertising market to be about flattish, so being TV and digital combined. We currently see that July is trading at low single-digit declines with strong growth -- continued strong growth of digital and still TV advertising market being slightly down. Visibility on August and September is still limited. I think it's fairly to say that September will be the most important intake for the outlook for the first quarter. September last year was at a quite pronounced minus of 7%. So we're working against easier comps. And so another word to repeat myself for the third quarter outlook, we're looking at kind of stable to slightly grow outlook for the third quarter in itself. Second question on Flaconi. Indeed, business is continuing very well, both on revenues and on profitability level and on cash flow. We continue to engage with potential buyers on that. We also have ongoing conversations with potential buyers. And as stated also in previous updates, we eventually continue to look for all options to crystallize value on that, although there is -- we're not in a formalized process now on a potential exit. On dating, I think with the new leadership team, especially with Matthew, we have gone through a very detailed exercise on how to reposition the group and how to ignite the group for new growth initiatives. It's fair to say that in the first half and also in the third quarter of this year, we are looking into quite a number of tests around pricing, around product offering, around more efficient marketing strategies going forward for the group. And I think based on that, we will redesign the group for further growth. It's fair to say that this will take a while in order to really pay off, and we are in current talks, but I expect further actions for growth improvements, not really to kick in until the very beginning of next year. And last question on the combination or the announcement of the RTL Sky Group announcement. I think with regard to our advertisers and agency talks, it's fair to say that as this acquisition mainly concentrates on further building scale in the paid streaming video-on-demand domain for our advertisers, this is not really such an important step as it doesn't really improve the inventory base for RTL in that setup. We do think it strengthens, obviously, the entertainment and sports footprint offering in the paid streaming on-demand part. But our strategy continues to be very focused on building a [ free scaled ] DACH superstreamer, as we call it. And for that part, I think we have a very promising results in the AVoD uptake of the advertisers in the first 6 months and also the month of July and August look quite promising in that part. So we estimate continued strong growth for Joyn in the AVoD market for the second half, increasingly compensated for the very challenging TV segment that we are currently seeing.
Operator: We take our next question. Julien Roch from Barclays.
Julien Roch: Yes. My first question is on the deferred tax income. You tell us it's going to be mid to high double-digit million euros for the full year. But what does that mean because double-digit million is EUR 10 million to EUR 99 million. So if you could give us a slightly more precise number for the deferred tax income. That's my first question. The second one is, can you remind us what other digital assets you have left outside of Flaconi and ParshipMeet Group and whether you would contemplate selling those? That's my second question. And then the last one is you gave us the video view time for Joyn 12.6 billion minutes, but is it possible to have the total viewing minutes for ProSieben overall?
Martin Mildner: Good morning, Julien. Maybe I'll take this question. This is Martin. With respect to the deferred tax assets, I think it's -- you have to differentiate, we will book this deferred tax asset the first time in the Q3 results. And we clearly said that the number is EUR 124 million. And then you have to see that already these deferred tax assets will be used in the -- from a balance sheet perspective also in the fourth quarter. So therefore, at the end of the year, you will have a lower amount in fact, of the countermeasures on the tax side. And therefore, it will in the Q3 EUR 124 million and at the end of the year, it is probably between, yes, I would say, EUR 70 million and EUR 80 million around something like this due to the countermeasures. And this will, of course, increase our adjusted net income. And this is the reason why we said in the outlook that the adjusted net income will be higher than the initially announced EUR 215 million, which are also impacted, of course, by the adjusted EBITDA figures, which we said where we will be below the midpoint. With respect to your second question, what kind of other assets we will have beside of Flaconi. So you know that we sold Verivox. And I would say that within the NuCom portfolio, so besides ParshipMeet Group, of course, you have also to see this as a noncore asset. But in the NuCom Group, we have around home -- we have [ Floyd and Kemper days ] . And on top, we have also, of course, [ Jochen Schweizer MyDays ]. There was a third question, which I do not have now. Bert, will you take it over?
Hubertus Habets: Yes. I'm happy to take over, Martin. That was the question on the total viewing minutes, which is a currency we normally do not disclose to the market. I think what I wanted to say in that is that our digital percentage of total viewing minute is rapidly increasing. It's still low in comparison to other European markets, but it has significantly improved now to the mid-high single-digit percentage as the -- as of the total viewing time. And in general, it's fair to say that against last year's comps, we have experienced a significant increase of viewing minutes given the fact that we are working against the big events that were out there last year. And given the promising channel performance of our group, I think we have seen a significant increase of viewing minutes versus last year.
Operator: [Operator Instructions] We'll take our next question from Nizla Naizer from Deutsche Bank.
Fathima Nizla Naizer: I have 2 questions from my end. The first is the Digital and Smart revenue, which grew by 2% despite the strong growth in Joyn. Maybe I missed this, but could you remind us again what didn't grow? And how would this trend in the second half? And secondly, you mentioned that EBITDA growth in Flaconi has been quite positive as well. Could you give us maybe an indication as to what the profitability margins look like there? And how profitable could Flaconi be at scale? And what would it need to get to those levels? Some color there would be great.
Hubertus Habets: Yes. Thank you for the questions, Nizla. I think on Digital and Smart revenues, it's fair to say that as we have told you that the Joyn revenues are significantly up in the second quarter with 62% increase. Other revenues are being challenged as part of the very challenging macroeconomic climate in general. And I think we have also suffered from some of the third-party sales mandates that were significantly lower than last year that has explained the only modest growth percentage of the total portfolio of digital and smart revenues. Coming back to your second question on the profitability and EBITDA performance of Flaconi. We communicated last year that the EBITDA margin of Flaconi was about 4%, which since then has steadily improved and continue to grow. And I think that was the main question of guidance, I think. So we continue to see strong growth and EBITDA improvement, also further margin improvement with Flaconi in the third quarter.
Martin Mildner: Yes. Maybe I will add only -- Nizla, I will add only one sentence with respect to Flaconi. And you know that we have the stabilized business in Germany, which is really mature, I would say, already. And we have this internationalization, where we are now going into the new countries where you, of course, have different kind of margin structure. So therefore, we are still in a growth phase. And your question with respect to the outlook, what would be the margin from a longer-term perspective. Clearly, I think what Bert said with the 5%, it's something which is in the market -- in the e-commerce market, at least a really good number already, but I would assume that we can increase this margin already slightly above due to this really high performance and good cost structure perspectives from Flaconi's management.
Operator: There are no further questions at this time. I would like to turn the conference back to Mr. Dirk Voigtlander, please for any additional or closing comments.
Dirk Voigtlander: Ladies and gentlemen, yes, thank you. As there are no further questions, this brings us to the end of today's conference call. My colleagues and the Investor Relations team and myself are, of course, happy to assist you with any additional questions after the call. Many thanks to everyone, and goodbye.
Operator: This concludes today's call and Thank you for your participation. You may now disconnect.